Operator: Welcome to the S&W Seed Company Second Quarter Fiscal Year 2025 Financial Results Conference Call. All participants will be in listen-only mode. Should you need assistance, please signal a conference specialist. After today's presentation, there will be an opportunity to ask questions. To withdraw your question, please press star then two. Please note this event is being recorded. I would now like to turn the conference over to Robert Blum with Lytham Partners. Please go ahead.
Robert Blum: Alright. Thank you very much, and thank you all for joining us today to discuss S&W Seed Company's second quarter fiscal year 2025 financial results for the periods ended December 31, 2024. With us on the call representing the company today are Mark Herrmann, Chief Executive Officer, and Vanessa Baughman, the company's Chief Financial Officer. At the conclusion of today's prepared remarks, we will open the call for a question and answer session. If you dialed into the call through the traditional teleconference line, you can submit your question through the ask a question feature in the webcast player. Before I begin with prepared remarks, please note that statements made by the management team of S&W Seed Company during the course of this conference call may contain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended, and Section 21E of the Securities Exchange Act of 1934 as amended. Such forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements describe future expectations, plans, results, or strategies, and are generally preceded by words such as may, future, planned, will, should, expected, and projected. Listeners are cautioned that such statements are subject to a multitude of risks and uncertainties that could cause future circumstances, events, or results to differ materially from those projected in the forward-looking statements, including the risk that actual results may differ materially from those projected in the forward-looking statements. As a result of various factors and other risks identified in the company's 10-Ks for the fiscal year ended June 30, 2024, and other filings subsequently made by the company with the Securities and Exchange Commission. To supplement S&W's financial results reported in accordance with US Generally Accepted Accounting Principles or GAAP, S&W will be discussing adjusted EBITDA and adjusted operating expenses on this call. These non-GAAP financial measures are not meant to be considered in isolation or as a substitute for the comparable GAAP measure and are not prepared under any comprehensive set of accounting rules or principles. An audio recording and webcast replay for today's conference call will also be available online on the company's Investor Relations page. With that said, let me turn the call over to Mark Herrmann, Chief Executive Officer for S&W Seed Company. Mark, please proceed.
Mark Herrmann: Thank you, Robert, and good morning to all of you. I'm excited to be here today speaking with you all. To set the agenda for the call today, let me first touch on the actions we have taken over the past few quarters to reposition S&W focus on our high-value crop opportunities where we can drive growth and profitability through leading crop innovation, namely in sorghum and Camelina, and ultimately unlock value to shareholders. We will then look at the long-term opportunity for Sorghum as well as where the market stands today. I then will provide a brief update on our joint venture with VBO. Vanessa will then provide a detailed review of the financials, and we will take a look at any questions that you may have at the end. For those somewhat new to S&W, let me just take a brief moment to remind everybody of the key activities that have taken place over the past few months or so that we believe will ultimately unlock value for S&W and its shareholders. First, we successfully completed the VA process in Australia, which occurred in late November 2024. Among other key conditions, the settlement agreement which we finalized shortly after our last conference call in November, allowed for the release from the intercompany obligations owed to S&W Australia and agreement with the National Australia Bank that released S&W from the $15 million AUD guarantee. In exchange, among other conditions, we transferred ownership of certain intellectual property and inventory to the new entity. Ultimately, this agreement provided the resources we mutually believe were needed to create going concerns for all entities. Following the completion of the VA process, we successfully secured a new $25 million working capital facility with Mountain Ridge in late December 2024, which replaced the previous facility with CIBC Bank. In connection with the agreement, MFP, our largest shareholder, provided a letter of credit with a face amount equal to $13 million to be used as collateral. We believe the new facility and commitment could be viewed as a strong endorsement from both our largest shareholder and new strategic lending partner in the future of S&W and the opportunity it represents going forward. With these key activities as backdrop, we have operationally focused on aligning the cost structure of S&W while implementing best practices across the organization. The end result has been improved gross margins, a reduced breakeven rate, as well as lower working capital through an overall improvement in inventory management. All of which has put us closer to profitability without having raised equity capital during this past year. As a reminder, there are currently approximately 2.1 million shares of common stock outstanding and approximately 138,000 warrants bringing the total diluted shares outstanding to approximately 2.2 million. Clearly, this has not been an easy task threading the needle of the past year or so, and I want to personally thank the entire team here at S&W for their exceptional work. With that as a backdrop, going forward, we are now exclusively focused on our core US-based operations. Led by our high-value sorghum trade portfolio with Double Team as well as our biofuels partnership with Shell for Camelina. Why we are so excited about the new S&W is really driven by where we believe the market for sorghum is headed over the next decade, but more importantly, what our position in this market is. As some of you are aware, sorghum historically has not benefited from significant research investment broad acre crops such as corn, soybeans, and cotton have received. S&W is working to change all of that. In the four years since we first commercially introduced Double Team, we have grown from no acres to approximately 10% to 12% market share of the US grain sorghum acres this year. Expectation adoption rates, we believe Double Team program can capture 25% to 30% of the US sorghum market share over the next eight years which would generate about $70 million to $78 million in traded sorghum sales. This translates into a figure of about 16% to 18% through 2033. At this scale, we estimate that we would generate gross margins of approximately 76% to 81% on the traded products. Key to this growth is to build on our strength of our initial Double Team product with continuous innovation. We currently have multiple new products that to be launched over the next decade, including commercial launch of our second generation Double Team or DT2, grain sorghum and PAF or prussic acid free four sorghum in fiscal 2025. And DT2 forward sorghum in fiscal 2027 in the US. The commercial launch of DT2 plus prussic acid free grained sorghum in fiscal 2028 in the US. S&W will be extending our trade portfolio to targeted countries through our licensing strategy and agreements to leading independent seed companies as we receive regulatory labels and registrations. The commercial launch of broad spectrum herbicide tolerant sorghum in fiscal 2031 in the US and certain other countries in fiscal 2033 and finally, the commercial launch of insect tolerant sorghum in fiscal 2031 in the US and certain other countries in fiscal 2033. It's important to note that the pathway to these adoption rates is validated by adoption rates of similar technologies and other crops where leadership positions have been established in a multi-strategic go-to-market model has been enacted. This established roadmap we are following utilizes a combination of a robust direct technical sales team, private label licensing partners, and distribution partners with some of the largest AGCAM retail distributors in the US. Along with an asset-light model in a TAM, through collaborations with leading seed brands via licensing. In our view, there is not another company in the world that boasts the SOAR capabilities that we have. Providing a very strong first-to-market position with an impressive pipeline portfolio to continue to build on. Our market strength. So that's the long-term look as we see sorghum. Consistent 16% to 18% decade-long CAGRs, 70% plus gross margins, driven by strong R&D pipeline and an established commercial model. Near-term sorghum we are focused on executing against our outlook. That we have established for fiscal 2025. Which includes global sorghum sales of about $24 million to $27 million, of which $12 million to $14.5 million of that is Traded Technologies. Looking at the numbers through the first six months certainly is indicative of our outlook that we have for the year. Last year, we saw a lot of early sales during the December ending quarter. Which was somewhat abnormal to the normal purchasing patterns, which tend to occur in the March through June time frame. Therefore, we certainly expect to see the normal significant ramp here to the coming months. As we look to achieve our targets. Our confidence in the future of Double Team is being driven by the very high grower satisfaction results we received from user market research. With an extremely high percentage of growers reporting a positive experience. Overall, the majority of growers who have tried Double Teams seek to increase acres. Simply put, farmers that have tried Double Team love it. Now I would like to be remiss if I don't exhibit some level of caution in the near term from a few of the macro factors that impact farmers' decisions. Namely the potential impact from tariffs. As well as the rise in alternative crop prices as of recent. As most of you are aware, as a country, the US is a net exporter of sorghum, with the primary importer being China. Further alternative crop prices relative to sorghum could impact sorghum acres planted this coming season. As we have discussed in our private label business model is moving from selling in inventory to licensees fully loaded with production costs, germplasm royalty, and trait royalty. To selling with production costs and moving the germplasm trait royalties to a grower point of sale invoice. This effectively keeps inventory management at the licensees while aligning the royalty payments with timing of sales to farmers. This model will enable our strategy to realize significant sales growth in market penetration and align revenue recognition with timing of growers' sales. The model transition will be completed in 2027 planning season with all but three life expected to be operating under this model in 2026. As you know, with the USC business, our third and fourth quarters, which run from January through June, are our key quarters, and we are in full court press mode to ensure that our sales and logistics teams are in sync to get product to customers in a timely manner. In fact, we just completed a multi-day strategic sales meeting with high levels of enthusiasm from the organization. Clearly, the next few months will be busy for our teams, and I'm confident that we are well positioned as we can be to execute on the plans that we have put in place. Let's transition for a moment to VBO. While there's not a lot of new information to report, everything related to our biofuels joint venture with Shell remains on track. As a reminder, we own a 34% interest in the JV. Quick reminder of this past fall, VBO introduced Camelina seed to farmers which carries resistance to glucoma. An effective broad spectrum over the top weed control system. There are currently promotions ongoing with them directly working with farmers into the spring months. I hope to be able to share more with you in the upcoming call. Before I turn it to Vanessa, let me just briefly comment on the announcement we made in mid-January regarding the commencement by the board to explore and evaluate various strategic alternatives that may be available to S&W in an effort to enhance shareholder value. You can imagine, there is not a lot I can share with you, but besides what the chairman, Alan Willets, mentioned in the press release. Which is that we believe we have taken decisive actions to strengthen the company much of which I have discussed today. And that the board supports all initiatives that optimize shareholder value, and will consider the full range of potential strategic alternatives to ensure S&W Seed is best positioned for future success. As always, there can be no assurance that the review process will result in the company pursuing any transactions or any other strategic outcome nor as to the form or timing of any of the foregoing. The board has not set a timetable for completion of this process and we do not intend to disclose further developments unless and until it determines that further disclosure is appropriate or necessary. Let me turn the call over to Vanessa for a full detailed review of the financials, including our outlook and guidance for the upcoming year. I will then provide some brief closing comments and turn it over for any questions you may have. Vanessa?
Vanessa Baughman: Thanks, Mark. Good morning to everyone on the call today. Before I begin, let me just remind everyone that the completion of the divestiture of the Australian subsidiary has resulted in moving all Australian-related operations to discontinued operations on a look-back basis for FY2024. Therefore, when you look at the period of period comparisons, the Australian domestic and the Australian international businesses have been moved to discontinued operations for both of the financial years. With that, let's dive right in. On the revenue line for Q2 only, we reported revenue of $5.1 million compared to $8.3 million in Q2 of last year. Again, the $8.3 million from last year excludes Australia. A couple of keynotes on revenue. Last year's Q2 had $1.1 million of ex-US international revenue which was not repeated this quarter. No sales ex-US international occurred in Q2 of this year, as we continue to evaluate our crop strategy moving forward for the remainder of fiscal year 2025. The remaining Del Camp is primarily on Double Key. Which had Q2 revenue this year of $1.9 million versus $4 million in Q2 of last year. The difference here is the timing of private label shipping. Overall, America's sorghum revenue including Double Team and conventional sorghum, was $3.1 million. America's forage revenue was $1.7 million and there was a small amount of other pertaining to our VBO partnership. As I mentioned last quarter, Q1 and Q2 are seasonally our lightest quarters. With Q3 and Q4, which is our March and June ending quarters, being the bulk of our volumes where we expect about 65% to 70% of our annualized sales to occur. Q3 and Q4 will also be the quarters in which the greatest leverage in our business occurs to the bottom line as many of the fixed costs are absorbed over greater revenue dollars. In fact, our guidance suggests that we will have positive adjusted EBITDA of $1 million to $3 million in the second half of fiscal 2025. For fiscal 2025, which ends on June 30, 2025, our guidance remains unchanged from last quarter. With total revenue to be between $34.5 million and $38 million for the ongoing business. This number does include the $4.1 million of international sales recognized in Q1. Let's break the guidance for the ongoing business down a bit more. We expect total global sorghum revenue to be $24 million to $27.5 million. Of which DT will be between $12 million and $14.5 million, and the pilot for a press fit free will contribute $200,000 in revenue. The remainder will be our conventional trades in Sorto. This includes sorghum sales that we recorded in Q1 and expect to record in the international reporting segment in Q3 and Q4. International forage sales are expected to be approximately $3.2 million, of which the full $3.2 million was recognized in Q1. And America's Forge will be between $7 million and $8 million. While other sales will be approximately $300,000. Now turning to margins. Gross profit margin for Q2 was 37.1% compared to 42.8% in last year's Q2. Again, last year's gross margin excludes Australian operations. The change here is really due to the lower DT revenue in Q2 of this year versus Q2 of last year. We are expecting total gross margins for fiscal 2025 to be between 33% and 36%. Now let's transition to operating expenses. Q2 fiscal 2025 operating expenses inclusive of depreciation and amortization for the ongoing business in total, were $6.2 million compared to $5.7 million last year. The Q2 fiscal 2025 number also includes all of the nonrecurring transactional costs pertaining to voluntary administration of approximately $600,000. Excluding depreciation and amortization as well as the nonrecurring transactions cost, adjusted operating expenses during Q2, were $4.9 million which is flat with last year at $4.9 million in Q2. Looking at it on an annualized basis, our expectation is for total operating expenses exclusive of depreciation and amortization stock-based comp and any one-time charges related to VA to be about $16.5 million. Including depreciation and amortization and stock-based comp, that number will be about $21.1 million. We have made a number of significant reductions in operating expenses through last fiscal year, and leading up to Q1 of this year. And believe we have reached a very reasonable go-forward operating structure. As I mentioned last quarter, we carry about $3 million of costs related to being a publicly traded company. But beyond that, we have made significant efforts to align our go-forward business plan with our expenses to try and drive the business towards profitability. Now to EBITDA. Adjusted EBITDA for Q2 was a negative $2.9 million compared to adjusted EBITDA of negative $1.1 million in last year's Q2. For the first half of fiscal 2025, adjusted EBITDA is a negative $6 million. Based on the various inputs I provided, we are expecting adjusted EBITDA for the year to be between a negative $5 million on the low end and a negative $3 million on the high end. Compared to negative $5.6 million with Australia's businesses removed in fiscal year 2024. Put differently, with the first half already at negative $6 million, we are expecting the high end of our range for the rest of the year to be a positive $3 million for the back half of the year. And for the low end, to be about $1 million in positive adjusted EBITDA breakeven for the rest of fiscal 2025 in aggregate. As Mark mentioned, since our last call, we successfully secured a $25 million working capital facility with Mountain Ridge, which replaced the previous facility we had with CIBC. I want to take a moment to thank CIBC for their support of S&W over the past four years. And we're excited to be working with the team at Mountain Ridge moving forward. Their commitment coupled with the $13 million letter of credit provided by MSP, are tremendous endorsements to the work done over the last year to reposition S&W going forward. Again, I'm happy to follow-up with any of the details we went through if you should have additional questions. With that, let me turn the call back over to Mark.
Mark Herrmann: Thank you, Vanessa. First, let me just thank the entire team at S&W for their hard work over the past year to get S&W to a place where we can focus on delivering value to farmers and shareholders alike. Going forward, our business is gonna be driven by high-value, high-margin sorghum trait technology in well-established markets in the Americas. Our commercialization strategy is robust and validated by decades of success by similar products in adjacent crops. Our product development pipeline is deep with multiple new products set to launch each year in various geographies over the next decade. Importantly, the value we bring to farmers has been validated. The Farmgate value of our Double Team grain product is between $36 to $72 per acre. Our DT forage products provide between $30 to $67 per acre. Our prussic acid free trade adds an additional $30 to $55 per acre. When you look when you stack them it allows farmers to take full advantage of each independent trait value. These are significant benefits to farmers as they protect against hundreds of millions of dollars of estimated farm production loss each year. And, of course, we have a large equity stake in Shell Biofuels JV. Which has a large opportunity ahead of ourselves as we progress in our second year of the JV. With the business dramatically more streamlined from an OpEx perspective and efficiencies in place, to drive incremental gross margin improvements in both our traded products as well as our other forage products. I believe we are in a position to return S&W to profitability. I want to sincerely thank all the shareholders for their continued support. With that said, I look forward to taking your questions. Operator?
Operator: We will now begin. If you are using a speakerphone, please pick up your handset before pressing the keys. If at any time your question has been addressed and you would like to withdraw your question, the first question comes from Ben Klieve with Lake Street Capital Markets. Please go ahead.
Ben Klieve: Alright. Thanks for taking my questions. I got a handful of them here. First, a couple regarding the current year results. So first question on as it pertains to DT sorghum, I'm curious what you see as the level of inventory for that product that's already within the supply chain. Is that or inventory level still such that there's, you know, real visibility of a pretty steep commercial ramp, or do you have any concern about elevated levels here at this point in the year?
Mark Herrmann: Hey. Good morning, Ben. Appreciate the question. You know, as we look at our business, over 50% of our business comes from Sorghum Partners' brand, which S&W completely operates in the US. Right? So with Sorghum Partners brand, all unsold inventory at the end of the spring gets picked up and returned to our warehouse. So in reality, we know exactly that we start annually from zero. Right? So there's no preexisting supply in the channel. And we're moving forward with that business and expect to see the growth that we had built into the plan. With the license business, they do the same activity with their own seed brands in the fact that they deliver and then they pull back into company warehouses and have an accurate count at the end of the year. So our previous model was shipping fully loaded trait in, germplasm royalty as well as the cost of goods shipping to the licensed companies. And as I talked about in this call, that'll be moving to more of a system of where the a license seat company takes inventory at a cost of goods just like every seat company, including ourselves, does and manages their internal inventory, and then we'll pay royalties based on grower actual sales each year reported by our year end. Right? So it'll move to it. So there's a bit of gap and information as to timing when each of the licensees pull in inventory. And last year, we did see an incremental amount of ordering in the fourth quarter. Pulling inventory into their businesses both to fill spring needs as well as to carry some inventory into the next year. I think, potentially, it along with some of just the indecision on farms, some of the things we're seeing geopolitically of question marks on moving. You know, there'd be a question mark if our process of going through the VA last year slowed some people down as far as bringing in their inventory in Q1 and Q2 versus bringing it in now in Q3 and Q4. Right? So we're working to analyze that and be on top of it as we work through with licensees right now. For what their production plans one, what their demand their sales, what inventory they need to ensure they can complete demand with their customers for this year for shipping as well as then working up their production plan for next year's planned sales, and we'll have that effort over the next couple weeks. So I think one of the pieces that delayed the one and two was our process of going through the Australian VA and some of the unknowns that put into the marketplace as well as we are in kind of a unique situation on farm. With farmer decision making on cropping plans. There's been huge amount of commodity price volatility, and all crops between corn, soybean, and cotton as far as the alternative crops as well as sorghum. But I do believe we'll see that settling out and farmers will be finalized in their decision as we move forward. I don't anticipate that it's a significant problematic piece, but I do believe the model we're going to is a model that'll help us have seed companies planning to carry the appropriate level of inventories on a year-round basis to really run their seed business efficiently versus trying to avoid bringing material in because of a fully loaded cost, which included Germplasm royalty and trait royalty before they had the sales activity taking place with farmers. Ben, does that kind of address it? I know it still leaves a huge unknown, but I don't see a signal that says that we're off track versus the guidance that Vanessa and I have rolled out to the organization.
Ben Klieve: Yeah. I appreciate that. You know, there's a lot of moving pieces here, so I certainly appreciate the uncertainty. But those all very helpful context. And you got to my you alluded to my next question, which I don't know if this is better directed to you or Vanessa, but regarding the current year guidance and the sorghum revenue that you lay out, I'm curious given the rising price of alternative commodities, especially corn, the level of embedded acreage you guys are expecting within the US market actually, the level of acreage within the US market that you're expecting embedded within your guidance. Do you guys anticipate kind of a flat level of sorghum acreage year over year in the country, or are you expecting some kind of decline given elevated pricing here for alternative crops?
Mark Herrmann: Yeah. It's a great question. And I'll take a first swing at it, and then, Vanessa, please, if you've got others to add. But if you look at the acre trend, sorghum had been on a bit of a growth trend if you look over the two years prior to last year. Right? So it had grown from a six million to about a 7.2, 7.3 million acre crop for the planting season of 2023. Which also had the contribution of very late planting. The weather through a lot of the sorghum market was wet, which prevented planting of cotton and alternative crops. Farmers came back with a sorghum crop, which helped also, move acreage up. Last year was the opposite impact. It was a perfect spring. Commodity prices were strong, and the other commodity pieces, and we saw acres move back down from 7.2 into the 6.3 to 6.5 million sorghum acres. We did not build our plan based on depending on growth of sorghum acres. But as we look at the market, it does have a pretty significant swing based on what acre planning does happen. Right? So we started out very strong, the economics of planting sorghum versus alternative crops was very positive. It's leveled off a little bit with the increase in the corn price, which if you look at corn price seasonally, the corn market is very good at raising the price, working to get the acres planted. Which I anticipate is what's taking place this year as well. But we really didn't build our plan based on a return to a seven plus million acre base.
Ben Klieve: Okay. It's good to hear the conservatism embedded within that then. Vanessa, a question for you on the debt levels and an update on the new credit. You know, between getting the Australian business exited and then ripping working capital off the balance sheet, you guys are sitting at a level of debt that's lower than it's been since, like, 2016. So congratulations on some real progress on that front. And my question to you is twofold here. The degree of visibility you have at further reductions in working capital here over the second half of this year or maybe over the next twelve months, and then also the level of availability you have today, within your new credit facility.
Vanessa Baughman: Yes. Of course. Thank you, Ben, for the question. So for the remainder of fiscal 2025, we and I'll mention this in comparison to last year. We will end or it's anticipated that we will end fiscal year 2025 at a lower debt position than last year, and it goes to exactly what you just mentioned. So continued focus on OPEX and meeting our targets on OPEX. As well as the working capital component. While we were able to achieve that through Q2 in terms of lower debt versus last year, one of the things from a cash flow perspective that we've quote, unquote, had to cover for are those onetime transactional costs that you can see in our adjusted EBITDA reconciliation within the financials, of approximately $600,000 related to VA. So, unfortunately, that was a cash outlay that we had not planned, right, at the time that we were working through. The particulars with Mountain Ridge. But for the remainder of fiscal 2025, we're in a position from a capacity perspective to be well supported with the Mountain Ridge facility as it is today. And as a reminder, it is an asset-based type of agreement. So as sales start to position themselves over Q3 and Q4, that gives us adequate credit financing for the remainder of 2025 that, again, is expected year over year. That we will be in a lower debt position, and overcoming those onetime costs. But I will say that that added some complexity to at least Q1 and Q2 in overcoming that $600,000 and those onetime nonrecurring costs related to the VA.
Mark Herrmann: Hey, Vanessa. Could I just add? So as Vanessa and I came in, we did feel S&W was carrying far too much inventory for sales. So as we finish this year, we should reduce carryout inventories by about 40% to 50% versus what we carried out last year, which has a huge positive as far as cash tied up in inventory, but also most seed inventory you lose approximately a 10% due to quality just aging. So it's a significant reduction in it. And I say this because I really don't even believe it's totally focused on just reducing working capital, but it puts the seed company in a very quick to move. When you've got a strong pipeline of new product advancements, we're gonna have over the next ten years. The ability to keep inventories tight to have the ability to ramp up the newest technology, the newest germ plasma as quickly as possible, continues to drive the leadership position. So it'll have very positive impacts on both the working capital as well as profitability but also it'll put us in a place to continue to support a very aggressive ramp up of sales success as well.
Ben Klieve: Okay. Good. Very good. One more for me, and then I'll get back in queue. And it's just kind of a big picture question. In the context of the strategic review you, you know, you laid out, all of these kind of long-term expectations. And I'm curious, the degree to which kind of the scale of S&W constrains the ramp and sorghum either from an R&D perspective or a commercial perspective, and any potential synergy that could come from, you know, a larger operation having this kind of a business embedded within it. I mean, is there a material finance, you know, constraint from a financial or human capital perspective at S&W on, you know, on the outlook that you think could be kind of unlocked if this was elsewhere?
Mark Herrmann: You know, that's a great point and input, Ben. So there's always a strategic opportunity for entities to be able to look internally at the resources they're already spending and how does it either contribute to or accelerate trade pipeline or product release pipeline that we've got really in sight for the next ten years. So I do think as we go through the process, there'll be significant opportunities for different organizations to assess how the resources and assets inside of S&W really contribute and escalate their current paths. Right? Either S&W's ability to reach and accelerate or their ability to for efficiencies and investment in other places. So I do believe that there'll be significant value identified.
Ben Klieve: Very good. Alright. Well, I appreciate you taking my question. Congratulations. It's been a busy, and very productive last few months. Good luck second half of this year, and I'll get back in queue.
Mark Herrmann: Thank you, Ben.
Operator: The next question comes from Kurt Caramanidis with Carl M Henning Inc. Please go ahead.
Kurt Caramanidis: Hi. Thanks for taking my question. Questions on VBO. Are there constraints in selling that position as you do this review from Shell or any kind of color that you could give us on how that would be monetized potentially? And then is next year kind of a ramp year for the Camelina business?
Mark Herrmann: I'll cover the last one first. So as VBO keeps expanding their product lines, particularly focused on their trait position, which is very unique in the marketplace for Camelina, for easy control of weeds at a very economical position, I do believe their continued ramp up of success positioning with farmers will move forward. As far as the other ones, I probably have to say I can't really speak to the specifics with it other than what was positioned by the chairman of the board, Alan Willets. Alan Willets and Mark Wong are also on the board of VBO. As we look at it, we're looking at all opportunities that bring value to S&W shareholders as we move forward.
Kurt Caramanidis: Okay. Fair enough. And then did you I know you did the reverse split, but have you considered going to the OTC to save a couple? I know that wouldn't be free, but a couple million bucks a year. What's kind of the thought process there?
Mark Herrmann: Yeah. And you bring up a good point between what Vanessa positioned that we've got about $3 million tied with expenses for being publicly traded. And today, we're a company that has sales in that $35 million range. Position. Right? It just speaks to there's potential efficiency processes. I would just leave that as part of the whole discussion around looking at strategic options that bring value to S&W shareholders.
Kurt Caramanidis: Great. So that makes sense. Appreciate it.
Operator: Again, if you have a question, please press star then one.
Robert Blum: Operator, we've gotta while we wait to see if there's anyone else in the queue, I have just a couple of questions here from the online portal. To Mark and Vanessa. I'll try to bucketize them briefly here. Talk about maybe any competitive products out there specifically within the herbicide resistance sorghum?
Mark Herrmann: Yeah. So there's two other programs that are in the marketplace. And S&W has had a significant lead over each of those positions. Both in volume and market penetration as well as farmer feedback as far as weed control cropping options and others. So as we look at it, we're in a very, very strong position. And then with the pipeline, as it comes out, I do believe we can work to keep market leadership position, not just on DT in grass control. But also across a broad spectrum that brings value to farmers. Everything is predicated on does your product truly turn into a positive economic investment for farmers? And we feel very good about the portfolio that we've got. And our approach has really been looking pretty directly at the economic impact. But as you look at peace of mind and other intrinsic values, I think part of the acceleration of our trade portfolios can be driven and has been driven by the peace of mind of knowing you're gonna be able to rescue your crop in the event of heavy pressure. Same with prussic acid free. If you know much about grazing cattle on sorghum, both benefits and the drawbacks. The big drawback is prussic acid and the concern for animal health. With prussic acid free completely resolves and puts a farmer in a great position to be able to utilize the great benefits of using a Ford Shoram or even a post-harvest grain sorghum to provide feed for their livestock. So I believe we've got a strong position as far as the pipeline and where we're currently at for success. There's a significant advantage to our product position.
Robert Blum: Okay. Maybe just one more question here. Maybe just I think you've touched on a few of these, but more broadly with some of the tariffs some of the other subsidies, basically, just overall change in administration. You know, what sort of impact to this? Have you taken into account with the estimates that you provided here?
Mark Herrmann: Well, that's a great question, Robert. And I called it out a bit and internally, we've had the discussions around the tariffs. China is the number one importer of sorghum globally. Right? And where the US is the number one exporter. So there's a pretty tight relationship between China and the US as far as sorghum consumption. And then there's the concern around tariffs where they could go and what could be the response from China to those. Right? So, unfortunately, all of it is speculation and assessment. Clearly, if they have a block on importing US products or a significant tariff, it could significantly hamper sorghum pricing in the sorghum market. But we have not built overly aggressively conservatism based on an assumption that that will happen. Right? It's something we'll watch for. We'll know more as we go forward, and it's a sensitivity. But it is not built into the numbers today.
Robert Blum: Okay. Fantastic. Alright, Mark. I'm showing no further questions here. So Mark, I guess I'll turn it over to you for closing remarks.
Mark Herrmann: I really wanna thank everybody for joining this morning. Really appreciate your engagement with S&W in this call. And Vanessa and I look forward to hopefully speaking with you all again shortly. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.